Operator: Hello and welcome to BD's First Fiscal Quarter 2014 Earnings Call. At the request of BD, today's call is being recorded. It will be available for replay through February 11, 2014, on the Investors page of the bd.com website or by phone at 800-585-8367 for domestic calls and area code 404-537-3406 for international calls, using confirmation number 31318159. (Operator Instructions) Beginning today's call is Ms. Barbara Infante. Ms. Infante, you may begin.
Barbara Infante: Thank you, Jackie. Good morning, everyone, and thank you for joining us to review our first fiscal quarter results. As we referenced in our press release, we are presenting a set of slides to accompany our remarks on this call. The presentation is posted on the Investor Relations page of our website at bd.com. During today's call, we will make forward-looking statements, and it is possible that actual results could differ from our expectations. Factors that could cause such differences appear in our first fiscal quarter press release and in the MD&A sections of our recent SEC filings. We will also discuss some non-GAAP financial measures with respect to our performance. A reconciliation to GAAP measures can be found in our press release and its related financial schedules and in slides. A copy of the release, including the financial schedules, is posted on the bd.com website. Leading the call this morning is Vince Forlenza, Chairman, Chief Executive Officer and President. Also joining us are Chris Reidy, Chief Financial Officer and Executive Vice President of Administration; Bill Kozy, Executive Vice President and Chief Operating Officer; Tom Polen, Group President; and Linda Tharby, Group President. It is now my pleasure to turn the call over to Vince.
Vince Forlenza: Thank you, Barbara, and good morning, everyone. Before we get started, I would like to extend congratulations on behalf of all of us here at BD to Monique Dolecki, our Vice President of Investor Relations, and her husband on the birth of their daughter. We understand that everyone is healthy and we wish them all the best. With that, let's get started on Slide 4. As we stated in our press release, we are pleased with our strong start to the year. We experienced growth across all three of our segments with particularly strong growth in Medical and continued improvement in Biosciences. Growth was also driven by continued emerging market expansion and sales of safety-engineered products. Our first quarter results were also aided by a number of timing factors, which Chris will speak to in more details shortly. We've been talking to you for a few years about our long-term strategy for investing and innovating for growth. Back in 2011 and 2012, we embarked on a strategy to reinvigorate our portfolio with new products and complete solutions to better meet our customers' needs. We've been working to enhance our core businesses across our portfolio and expanding the categories in which we compete by moving into near adjacencies. Last year was the inflection point where we started to see the benefits of that strategy in our financial results and new products. In fiscal year 2014, we expect to continue ramping up our many recent new products and delivering on our strategy. Additionally, we announced a small acquisition in our Diagnostics segment, Alverix. They have been a technology partner of ours since 2008 on the Veritor platform. Our strong revenue and earnings growth in the first quarter along with our revised full year outlook gives us the confidence to raise the bottom end of our previous revenue and earnings guidance ranges for the full fiscal year. Moving on to Slide 5, we've outlined our first quarter revenue and EPS results, which I will speak to on a currency-neutral basis. Total company revenues were strong at 6.7%. This includes about 80 basis points from acquisitions and about 120 basis point contribution of timing items including an early flu season. Fully diluted EPS grew 8.1% over the prior year to $1.37. Excluding the impact of the medical device excise tax, adjusted EPS was $1.42 or 11.9% growth. Now I'd like to turn the call over to Chris for a more detailed review of our first quarter financial performance and updated guidance.
Chris Reidy: Thanks, Vince, and good morning, everyone. I'd like to begin by discussing the key financial highlights for the first quarter, which I will speak to on a currency-neutral basis. As Vince just stated, results were ahead of our expectations and we experienced growth across all three of our segments. Our strong growth of 6.7% includes about 200 basis points from acquisitions and timing. Acquisitions contributed 80 basis points of growth in the first quarter, as anticipated. This was driven primarily by our Safety Syringes acquisition, which continues to perform well. We also benefited by about 100 basis points from timing in our Medical segment in both our Pharmaceutical Systems and Medical Surgical units. Additionally, we received the benefit of 20 basis points from an early flu season coupled with competitive gains in the Point of Care category. Positive pricing in the quarter of about 40 basis points was slightly ahead of our expectations. This was partially due to continued effective price management. I would like to note that based on the number of tenders anticipated in the back half of the year, pricing remains on our radar for the full year. This quarter, we experienced negative gross margin impacts from currency, raw materials, and startup costs, as anticipated. EPS in the quarter of $1.37 reflects 8.1% growth versus the prior year or about 11.9% excluding the medical device tax. EPS was ahead of our expectations this quarter largely due to our increased revenues. We repurchased about $190 million of our anticipated $450 million full-year 2014 share repurchase program. Our first quarter results and revised full year outlook give us the confidence to raise the bottom end of our revenue and EPS guidance ranges. We now expect revenues between 4.5% and 5% with adjusted EPS now expected between 9.5% and 10% excluding the medical device tax. I'll talk more specifically about guidance in a moment. Now let's move on to Slide 8 where I'll review the revenue growth by segment on a currency-neutral basis. As I just mentioned, revenue growth was 6.7% for the total company. BD Medical first quarter revenues increased 8.6%. Our results in this segment were driven by strong double-digit international growth across all business units and continued growth of safety-engineered products. Within the Medical segment, Diabetes Care growth of 10.1% reflects continued strong sales of our Nano Pen Needle products. Medical Surgical's growth was 9.1% this quarter, aided in part by a timing of orders, as I previously mentioned. Pharmaceutical Systems' growth of 5.5% reflects the strong contribution from our Safety Syringes acquisition and a benefit from timing of orders. BD Diagnostics' first quarter revenues increased 4.2%. The segment's growth was primarily driven by continued international expansion in both the Preanalytical and Diagnostic Systems units. BD Biosciences' revenue growth was slightly ahead of expectations at 5.7%. This was due to double-digit emerging market growth and clinical reagent sales. We also saw solid instrument placements in both the US and Western Europe, aided by improved stability and research market funding. We continue to see signs of stabilization in the Biosciences market. Moving on to Slide 9, I'll walk you through our geographic revenues for the first quarter. Overall, we saw stability in the US markets and an improvement in European end-markets. Particularly strong growth in Western Europe was driven by safety sales, Bioscience growth, the benefit of timing in Pharmaceutical Systems, and a favorable comparison to the prior year. BD's reported US revenues increased 2.3% versus the prior year. US growth in our Medical segment was 3.8%. Strong growth in our US Diabetes Care unit of 8.4% continues to be driven by our BD Nano Pen Needle products. Medical Surgical growth partially benefited from some one-time items. Pharmaceutical Systems' growth benefited from the SSI acquisition, which was more than offset by an unfavorable comparison to the prior year and the variability in our customers' geographic ordering patterns. US Diagnostics segment growth was about flat in the quarter due to the impact of the lost customer contract that we discussed on our last earnings call. We also saw continued declines in Women's Health, as we have been communicating with you for some time. This was partially offset by steady sales in microbiology, which includes Kiestra and the Point of Care categories. US Biosciences growth was 3.3%, driven by strong instrument placements, clinical reagents, and continued stability in the marketplace. International revenues grew 10% with double-digit emerging market growth and strong performance across the segments, particularly our Medical and Diagnostics segments. On a currency-neutral basis, the Medical segment grew 12.2%, Diagnostics grew 8.1%, and Biosciences grew 6.8%. Medical growth was driven by strong Safety sales and the benefit of timing of orders in Pharmaceuticals Systems that I mentioned previously. Diagnostics growth was solid across both the Preanalytical and Diagnostic Systems units. BD Biosciences growth benefited from solid instrument placements in Western Europe. Moving on to Slide 10, we continue to see strong growth in emerging markets, which accounted for approximately 25% of our total revenues in the first quarter. Emerging markets revenues grew 13.4% currency-neutral over the prior year. We have been making strategic investments in emerging markets over the last few years, which has helped deliver robust emerging market growth. We saw a double-digit growth in a number of our key markets, with China growing over 25% currency-neutral. Emerging markets continue to deliver significant safety growth with an increase this quarter of about 15%. Moving on to Slide 11, we have outlined our global safety revenues for the quarter. Currency-neutral safety sales increased 9.8% and grew to $557 million in the quarter. Revenues in the US increased by 8.1% and include the contribution from our SSI acquisition. International sales grew 12% on a currency-neutral basis with Western Europe and emerging markets both growing double-digits. Medical safety sales grew 14% and Diagnostics growth was 5.7%, driven by a range of safety-engineered products. Medical safety benefited from our SSI acquisition and strong growth in our Medical Surgical unit international safety portfolio. At the conclusion of this first quarter, our SSI acquisition has annualized and would be included in our base. Moving to solid 12 on gross margin, as expected and outlined to you on our last call, we experienced negative currency translation driven by the timing of the inventory movements. On a foreign currency neutral basis, benefits from our (inaudible) programs, favorable pricing and pension were more than offset by increased costs associated with raw materials, sought up items and acquisitions. Our gross profit guidance remains on track for the full year. Slide 13 recaps the first quarter income statement and highlights our foreign currency neutral results. Since I just discussed revenue and gross profit, I'll move to SSG&A, which grew 7.9%. Excluding the medical device tax, SSG&A grew about 5%, reflecting continued investments in areas such as emerging markets and new products. R&D increased just over 6%, which is in line with our expectations. Our operating income increased 3.2%. But excluding the medical device tax, operating income growth of 6.9% was slightly higher than the rate of sales this quarter. Our tax rate improved 170 basis points over the prior year. As we noted in last year's first quarter results, our tax rate was higher at that time due to some one-time items. In addition, there was a delay in the enactment of the R&D tax credit in the first quarter of last year. Both of those items contributed to a favorable comparison this quarter over the prior year. These items resulted in earnings per share of $1.37, which is an 8.1% increase versus the prior year. Excluding the impact of the medical device tax, earnings per share of $1.42 represent an 11.9% growth rate. Now turning to Slide 14, I'd like to review our updated guidance in more detail, which I will speak to on a currency-neutral basis. Our first quarter results, along with our revised full year outlook, give us the confidence to raise the bottom end of our fiscal year 2015 revenue guidance 50 basis points to 4.5% to 5% growth. This assumes a stable macroeconomic environment. As we discussed last quarter, we had reserved the bottom-end of our revenue guidance range for possible weakening in global macroeconomic conditions, unfavorable pricing impacts and/or other deteriorating factors and we're not seeing that. We have seen continued signs of stabilization in both the US and Western Europe. We are estimating a full year euro exchange rate of $1.36. Our full year outlook on pricing has improved slightly. As we noted, pricing remains a concern for the back half of the year. Given the current pricing environment, we are updating our pricing outlook to about 20 basis points of pressure for the year from our previous range of 20 basis point to 40 basis point. Within the segments, we are increasing our guidance for the Medical and Bioscience segments. And I expect the Medical segment to grow 5% to 5.5% and the Bioscience segment to grow about 4% for the year. Diagnostics segment growth expectation remained between 3.5% and 4.5% for the year. We remain on track to meet our goal of about 70 basis points to 80 basis points of operating margin expansion for the full year excluding the impact of foreign currency and the medical device tax. About half of that benefit is expected from favorable pension assumptions along with 30 basis points to 40 basis points of underlying margin expansion. In addition to revenues, we are raising the bottom end of our full fiscal year adjusted EPS guidance range by 50 basis points to between 9% and 9.5%. Excluding the medical device tax, we expect EPS to grow 9.5% to 10%. As a reminder, with the conclusion of our first quarter, the medical device excise tax has annualized and will be included in our base. Reported fully diluted EPS for the full year is now expected between $6.19 and $6.22. All other guidance components remain unchanged from what we provided on our year-end call in November. The revenue and earnings profile that we outlined for you on our last call remain intact. Revenue growth is still expected to be stronger in the first half of the year, accentuated by our accelerated first quarter results. Earnings growth is still anticipated to be weighted in the back half of the year, although that effect is slightly muted by our first quarter timing benefit. Looking forward, a good way to think about the balance of the year is that a number of the timing benefits that we experienced this quarter, will reverse during the second and third quarters. I would like to turn the call back over to Vince who will provide you with an update on our product portfolio.
Vince Forlenza: Thank you, Chris. Now moving on to Slide 16, we see the program and product launches in our Medical and Biosciences segments. In fiscal years 2012 and 2013, we launched about 30 new products. As we've been communicating with you, our percentage of revenue from new products is coming from about 8% of our overall revenues in 2011 to an expected 15% or 16% by the end of this fiscal year. This year, we will focus on the successful scale-up of our recent years' new products and solutions, while continuing to add products who complement these offerings. In the Medical segment, we continue to look forward to the continued rollout of our new BD Simplist line of prefilled generic injectables. We currently have four drugs approved by the FDA, including our recent morphine approval, which we expect to launch in the coming months. We have five or four additional drug approvals with the FDA and we will update you as they complete the approval process. As we've been sharing with you, this is still a very new initiative and it will take some time for these products to gain traction in the marketplace. Our Simplist initiative is a good example of our strategy of building on our expertise to move into adjacent spaces. In our Biosciences segment, we are looking forward to the launch of our BD FACSPresto CD4 analyzer in addition to additional product offerings in our Sirigen dye portfolio. On Slide 17, you will see the various product launches in Diagnostics. We recently received FDA approval on our Staph SR and MRSA XT Assays on our BD MAX platform. We continue to focus on menu expansion and expect another four assays to be approved this fiscal year, including our Enteric Bacteria assay. We placed over 40 instruments in the first quarter, bringing our total number of placements currently in excess of 300. We remain very pleased with our BD Veritor Point of Care device. We've placed over 10,000 units to date, driving competitive gains for us in this growing market. Our BD Totalys front-end automation launched in Europe recently and our early customer feedback has been very positive. We anticipate the US rollout of this instrument in 2015. Also, our new BD Viper LT platform and BD Onclarity HPV assay are now CE marked and launched in Europe. Viper LT will provide fully integrated automated molecular test capability running both PCR and STA amplification menu. These include CT/GC and high-risk HPV. Our BD Onclarity HPV assay is the first DNA-based HPV assay that reports broad genotyping results for each patient with no additional processes. These products support our women's health and cancer business and are fully compatible with our shortpass liquid based cytology cancer screening test. We are particularly excited about our ability to provide broader HPV genotyping results as we see more clinical evidence that specific genotypes indicate a higher risk of developing cervical disease. Of course, we will continue to update you as we make progress on our pipeline initiatives. On Slide 18, before we open the call to questions, I'd like to reiterate the key messages from our discussion today. First, we are pleased with our strong start to fiscal year 2014 with solid underlying growth. Growth across all of our segments contributed to this quarter's results with particular growth in Medical and continued improvement in Biosciences. Second, our long-term strategy of investing in innovating for growth continues to deliver positive results. Key revenue opportunities will be driven by new products, tuck-in acquisitions, continued geographic expansion and sales of safety-engineered products. We are continuing to build on our leading global position and enhance our already robust core across all six worldwide businesses. Third, we are focusing on developing complete solutions to meet our customers' needs and improve clinical outcomes. We expect to expand the categories in which we currently compete by continuing to move into near adjacencies. We are raising the bottom end of our previous guidance ranges for revenue and EPS and have continuing confidence that we have built a solid foundation for future growth. Finally, we remain committed to delivering continued value to our customer and shareholders. Thank you. We will now open the call to questions.
Operator: (Operator Instructions) Our first question is coming from David Roman of Goldman Sachs.
David Roman: I wanted to see if you could go into a little bit more detail just on emerging markets overall as well as some of the tenders that you referenced in your prepared remarks, and I guess more specifically on emerging markets and not to sort of be negative on a 13% growth rate, but China is growing 25%, maybe you could just give some perspective on what's happening elsewhere, and obviously recently there've been a number of concerns as it relates to the macro environment in EM and healthcare spending? And then, I guess, lastly if you could just touch on the tenders you referenced in a little more detail.
Vince Forlenza: Yes, we did have strong growth in emerging markets. China was up 25%. The only place where we had actually some negative timing is just a matter of when tenders come in is the Middle East. So we did well in Latin America. We did well in Asia-Pacific, but it was really some softness in the timing of tenders in EMA for us, that was the difference.
Operator: Our next question comes from the line of Kristen Stewart with Deutsche Bank.
Robyn Karnauskas: It's Robyn for Kristen, so I just wanted to touch on price. You guys obviously had a pretty good quarter, up 40 bps, and now you have taken your expectations up a little bit for the year. Can you just touch on what you're seeing more broadly in terms of pricing developed in the emerging markets?
Bill Kozy: We had good solid price contribution, particularly from our Medical segment in the quarter, and that driven in part by Diabetes Care price improvement, and favorable mix and price from the Pharm Systems side. And those two units were significant price contributors to the company's overall price impact.
Operator: Our next question comes from the line of Mike Weinstein with JPMorgan.
Kimberly Gailun: It's Kim in for Mike. Just a follow-up on the price question as it pertains to diabetes, so you saw some really nice strength in the US Diabetes business, it sounds like it is driven primarily by Nano. And just maybe talk about why we're seeing the pickup now, what kind of account conversion and partnership you're seeing on the Nano side? And maybe, if you can, tie it in a little bit of your longer-term strategy on the Diabetes side?
Vince Forlenza: First question was around how is Nano doing and where are we in the conversion of this, and then does this set the stage for a broader play in Diabetes Care, and we're still early on in the conversion to Nano. Yes, we're doing well in the U.S., but we're also doing well in other geographies with Nano. We do price Nano at a price premium. And so, you are seeing that in both the Medical segment's results, and Bill was referring to that, and in the company's results. And as part of a broader strategy in Diabetes Care, we are continuing to refresh the core, but we're also working on some new product areas that we touched on before, and Bill maybe you want to comment on some of the adjacencies that we're looking at in terms of moving into it.
Bill Kozy: We're looking to explore other insulin delivery opportunities that we have in particular. We have referenced before a project we have on insulin infusion, and we're also actively looking at a longer-term program related to patch-pen types of insulin delivery. Those would be at the top of our project list for adjacency moves over the next two to four years.
Vince Forlenza: And of course, we have the CGM, which is still really in technology development. So a significantly broader play in the longer term in Diabetes Care.
Operator: Our next question comes from the line of Brian Weinstein with William Blair.
Brian Weinstein: Was the Quest impact fully reflected in the first quarter results or is there an incremental step-down coming? Can you also just comment broadly about some of the trends you're seeing in the US diagnostics markets as there continue just to be a little bit lower than, I guess, what we thought even in light of some of the secular stuff going on? Thanks.
Vince Forlenza: So in terms of that account loss, it was in the first quarter. It's slightly weighted more towards the second half of the year, but it's not a major step change would be the way to think about it. It was significant in the first quarter for the Diagnostics business.
Operator: Our next question comes from the line of Richard Newitter with Leerink Swann.
Richard Newitter: Just a broader macro question. We’ve heard from some other players that there could be some pull-through in strength, and seasonality in the calendar year fourth quarter or year-end deductibles, etc.. Could you comment on anything that you may or may not be seeing on this front and any commentary there on what this might portend for the quarter ahead and maybe the rest of the year?
Vince Forlenza: So, we did talk about 120 basis points of timing within the quarter, but that was not seasonal timing. I'm going to ask Tom Polen to just comment on some of the timing that occurred on the Medical segment or just a major piece of it for us.
Tom Polen: As Vince said, there were two businesses that we saw timing impact us in the quarter and in the segment were in Med Surg, specifically around clearing a backorder in the US as well as in the Pharm Systems, which tends to have some lumpiness associated with large customer purchases. So if you exclude that, as commented earlier, underlying growth was lower than reported, and those we view as one-time activities that were just in the first quarter.
Operator: Our next question comes from the line of Matthew Taylor with Barclays.
Dan Sollof: It's actually Dan in for Matt. And I had a question on the visibility you have in Biosciences. We've seen improvements there and you guys picked up your expectation for the year. But just into account conditions and the pressures that you've talked about in the US restructuring market, just wondering if you can address picking your expectation, is that really a function of both the US and OUS or just OUS?
Linda Tharby: As you know that we're continuing to see in the US market with the recently released NIH funding continued stability in that market. But ex-US, we also saw some turnaround in Western Europe, which was positive for us. And also, we continued to see strength in emerging markets. So US stabilization and growth in Western Europe would have been the biggest turnaround.
Operator: Our next question comes from the line of Bill Quirk with Piper Jaffray.
Bill Quirk: First off, obviously European safety has been a nice growth driver here following the adoption of the safety directive last spring. Are you still going to suggest that there's a pretty significant proportion of hospitals that are not yet compliant with the directive? And so, Vince, help us think a little bit about how you frame the ongoing opportunity and then just help us think about the duration of the tail-wind.
Vince Forlenza: Yes, we did see an uptick in European safety this quarter. And what was significant was we saw some uptick in Southern Europe for the first time. And so some of the first significant orders to matched geography. So there is a lot of runway here. There's still runway in Northern Europe as well. So we think the story has a few years to go in terms of ramping up. We would continue to think that this is not a step change kind of gain, that it's more of a hospital-by-hospital convert as these countries come online. So not US step-change situation, but kind of a steady movement in terms of conversion. Tom, is there anything else you'd like to add to that?
Tom Polen: The only other thing to mention is you know the US is quite mature in the 90s, just to put it in perspective. We see EU overall at about 60% converted for catheters, about 15% converted for injection systems and I think about 45% for blood collection systems. So I think that just reinforces, as Vince mentioned, there's still some room and several years of conversion to go there.
Operator: Our next question comes from the line of Derik De Bruin with Bank of America.
Derik De Bruin: Was there any change to tax rate guidance for 2014, just to remind us on that? And I guess do you expect any impact from the weather in the US in the second quarter?
Vince Forlenza: The tax rate guidance stays the same, 23.5% to 23.7%. So there is no change in that. The tax rate in the first quarter was as anticipated. In terms of the weather, very difficult to say whether we'll see any impact from the weather or not. And I guess there's probably not, but who knows what's going to happen in February and the rest of the quarter. But no so far.
Operator: Our next question comes from the line of Brandon Couillard with Jefferies.
Brandon Couillard: Vince, with the Simplist morphine product shipping in the second or third quarter, could you quantify the addressable market size for that specific product? And do you think you have enough approvals under your belt at this point to broadly go to market and capture market share or do you feel like you still need a few more approvals to make a broader push there?
Vince Forlenza: We haven't broken it drug-by-drug, but it is one of the bigger ones now. And so it's a step-up for us in terms of addressable market. We said the market is about $1.2 billion in the US and we're targeting about 60% of that, so over $700 million. But Tom can comment on the kind of the competitive dynamics and the menu in terms of where we are and how we seize that? Tom?
Tom Polen: I think we think about it in two ways. One is just regarding morphine and its relevance, we have three drugs on the market today if you think about the value of a prefilled drug delivery system and its ability to help reduce errors in the delivery process. The drugs that we on the markets today, some of them are sizeable in terms of market size, but are not necessarily high on the ranking of drugs associated with medication. Morphine really represents the first drug which is in the top 10 list of drugs associated with serious medications. So we see that the value proposition for morphine is really a key catalyst for us in that category. Are we still looking to broaden out our menu within the prefilled space? Absolutely. And I think as was mentioned earlier from Chris, we do have four additional drug approvals pending with the FDA and under varying stages of review. And so overall, as we discussed previously, this is a very new initiative and it is going to take some time for these products to gain traction in the marketplace.
Operator: Our next question comes from the line of Jeff Frelick with Canaccord.
Jeff Frelick: Vince, could you share some ways for acquiring the Alverix business? I assume you want to do more of the product menu. And do you have plans for the mini product that Alverix has?
Vince Forlenza: We bought Alverix. They were a supplier, I think, as most people know of the Veritor system. And we were going to be co-developing a next-generation system with them. It made sense from a financial standpoint to bring that in-house and get complete control of it. We are in the process of continuing to ramp up that menu. We're still waiting for RSE approval in terms of the CLIA waiver, but the product is now intended to have some placements. So it just made a lot of sense as we expand the menu and continue to move into the POC space that we brought that technology in-house.
Operator: Our next question comes from the line of Vijay Kumar with ISI Group.
Vijay Kumar: One, in China, the 25% was really strong. I think it came in well above what some of your peers are reporting. Can you tell us what's driving the strength and the sustainability of the strong double-digit? And the second one was in the MAX. Are you seeing any pickup in system placements or give any color on installed base?
Vince Forlenza: China, we continue to do well across the board with our entire portfolio. So it's balanced with Medical seeing the biggest part of that business and a very strong performance in our infusion business. So strong across the board, Medical being the largest. And I think we're seeing the benefits of our ability now to move into tier-2 to expand the distribution in China. And all of that is going quite well. In terms of BD MAX, I think Bill Kozy will comment on that.
Bill Kozy: We placed just north of 40 new MAXes particularly in the US and Europe and that would put our total placements to date just a little bit beyond 300. Of course, when we get the menu for the Enteric and some of the other menu that Vince mentioned, that will continue to help us. But we're comfortable with our placements for the quarter and our outlook for the year.
Operator: Our next question comes from the line of Doug Schenkel with Cowen and Company.
Doug Schenkel: Just like some of the competitors in the US microbiology market have been pretty well over the past few quarters, can you just provide an update on competitive dynamics, end-market trends and core, I would say, US microbiology market? And then in light of MALDI-TOF and Kiestra, have they increased the catheter equipment mix in microbiology, had any effect on your visibility there?
Vince Forlenza: The fact that we're selling more catheter because of Kiestra and what not, we have a very good view on that pipeline and we're doing well in core microbiology in the US and globally. And, Bill, anything else you'd like to add to that?
Bill Kozy: No, just to echo Vince's comment, we didn't have any Kiestra placements yet in the US. So all of our growth in the US on that side was driven by very, very solid BACTEC and PHOENIX activity, as well as the Point of Care reference. So that total grouping of products that we tend to call Infection Prevention and Management and you got microbiology in there and Point of Care and Kiestra, if you just looked at the US, we got nice mid-single-digit growth in the quarter, which we were pleased with.
Operator: Our final question comes from the line of Jon Groberg with Macquarie.
Jon Groberg: Vince, on the emerging markets, if you strip down, about half of your growth is still coming from emerging markets. And I guess as a manager, given all the noise that we hear about, what are you looking at, what are the data points you're looking at to kind of track or what you're focusing on to see whether or not some of the growth slows down from these very high rates? Obviously there's a long runway there. Just curious given some of the challenges, what you're looking for?
Vince Forlenza: The teams in the emerging markets will tend to have scorecards and they're looking at what's happening with various GDP statistics, then they're looking at healthcare spending and how healthcare spending is moving year-on-year, whether it's catheter or whether it's starting to move from bricks and mortar supplying those hospitals. So there's a number of different measures that they're looking at. And then I don't think they're more tender-driven. They're looking at the follow-up tenders in terms of what's in the queue to be brought.
Bill Kozy: Well, I think I'd say that there's government health needs and their priority. Our focus on collaborating around the significant governmental agenda for their health programs for the coming years and almost all governments around the world have got that is a key point of engagement. If you link that to all the factors that Vince mentioned, we kind of get a constant rolling view of what we want to be doing in that particular targeted market.
Vince Forlenza: And then lastly, we'll be in contact with the NGOs in those regions in terms of what they're looking to do and the programs that they have, so that we can stay on top of those. So those are kind of broadly what we look at.
Operator: That was our final question. I'd like to turn the floor back over to Vince Forlenza for any additional or closing remarks.
Vince Forlenza: So thank you to all of you for participating in our call today. We said we were pleased with the strong start to the year. We're happy to take up the bottom end of our values and we look forward to moving ahead with a strategy as we have it and updating you on the next quarterly call. Thank you very much.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.